Operator: Greetings, and welcome to the Maximus Fiscal 2024 Third Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host Jessica Batt, Vice President, Investor Relations and ESG. Thank you. You may begin.
Jessica Batt: Good morning, and thanks for joining us. With me today is Bruce Caswell, President and CEO; David Mutryn, CFO; and James Francis, Vice President of Investor Relations. I’d like to remind everyone that a number of statements being made today will be forward-looking in nature. Please remember that such statements are only predictions. Actual events and results may differ materially as a result of risks we face including those discussed in Item 1A of our most recent Forms 10-Q and 10-K. We encourage you to review the information contained in our recent filings with the SEC and our earnings press release. The company does not assume any obligation to revise or update these forward-looking statements to reflect subsequent events or circumstances except as required by law. Today’s presentation also contains non-GAAP financial information. Management uses this information internally to analyze results and believe, it may be informative to investors engaging the quality of our financial performance, identifying trends, and providing meaningful period-to-period comparisons. For a reconciliation of the non-GAAP measures presented, please see the company’s most recent Forms 10-Q and 10-K. And with that, I’ll hand the call over to David.
David Mutryn: Thanks, Jessica, and good morning. Our exceptional third quarter results demonstrate our ability to capitalize on volume growth against the backdrop of strong demand in our programs across the Board. We are very pleased to raise guidance for the third consecutive quarter. I’ll walk you through our thinking for the last quarter of this year and then I’ll share some early color on next fiscal year. Turning to quarterly results. Maximus reported revenue of $1.31 billion for the third quarter of fiscal year 2024, which represents 10.6% year-over-year growth, or 11.2% on an organic basis. All three segments posted organic growth with our largest U.S. Federal Services being the primary driver in the quarter. Adjusted operating income margin was 12.6% and adjusted EPS was $1.74 for the quarter, which compares to 6.9% and $0.78 respectively for the prior year period. Results are best explained at the segment level, so let’s go there. For the U.S. Federal Services segment, revenue increased 17.0% to $683 million, which was all organic and driven predominantly by volume growth on expanded clinical programs. The operating income margin for U.S. Federal Services in the third quarter was 15.5% as compared to 12.7% in the prior year period. These results reflect our focus on solid execution in a period of high demand, particularly in the assessment space. The higher margin also reflects a temporarily favorable mix of lower cost-plus revenue and higher performance based revenue. For the U.S. Services segment, revenue increased 5.2% to $472 million. This growth all organic was due to strong performance across the Medicaid-related portfolio, a portion of which were excess volumes from the now completed unwinding exercise. The operating income margin for the third quarter was 13.0% and compares to 10.5% for the prior year period. As expected, there was a slight normalization in the segment margin versus last quarter’s 14%, though this quarter still contained some temporary over performance. Nevertheless, there is a demonstrated good state of health in the large base of programs across this segment. Turning to the Outside the U.S. segment. Revenue increased 2.3% year-over-year to $159 million for the quarter. Organic growth was 6.8% and driven primarily by the UK and its diversified base of business today with the effect of divested businesses partially offsetting the organic growth. The segment realized a small operating loss of $1.4 million, compared to the $15.2 million in the prior year period, reflecting the reduced volatility to the employment services portfolio. The small loss this quarter was contemplated in our full year outlook for fiscal 2024, in which we expect to land slightly above breakeven. With one quarter left, we remain confident in our ability to continue shaping this segment within this fiscal year, and I’ll touch on that more in the guidance discussion. Let’s now turn to cash flow and balance sheet items. Cash provided by operating activities for the third quarter of this year was $199 million and free cash flow was $165 million. DSOs finished the quarter at 59 days. During the quarter, we amended our credit agreement and extended the maturity dates. The terms are broadly similar to our prior agreement and provide us capacity and flexibility to execute on our capital allocation priorities in the coming years. More details, along with the credit agreement itself are available in the Form 8-K we filed in early June. We ended the third quarter with total debt of $1.16 billion and our net debt to EBITDA ratio improved further from 1.7 last quarter to 1.5 times this quarter. As a reminder, this ratio is our debt net of allowed cash to adjusted EBITDA for the last 12 months as calculated in accordance with our credit agreement. On our call in November 2023, I noted that absent M&A, we should be able to delever to 1.5 times by the end of fiscal year 2024. We are pleased to have done so one quarter early. Under our opportunistic share repurchase program, we repurchased 611,000 shares totaling $50.6 million in the third quarter. This works out to an average price of just under $83 per share. In July, subsequent to quarter end, we repurchased an additional 250,000 shares totaling $21.2 million. Finally, let me summarize our current capital deployment thinking. While we are currently below our long-term target debt ratio of 2 to 3 times, we are comfortable continuing to pay down debt in the near-term to build capacity for M&A opportunities. Acquisitions that enable a platform for accelerated future organic growth remain our preferred use of capital. Meanwhile, we will maintain an opportunistic share repurchase program and pay a dividend that increases with earnings over time. Moving to guidance for the rest of this year, our extraordinary third quarter results and continued business momentum enable us to raise guidance for the third time on both the top and bottom line. Revenue is now expected to be between $5.25 billion and $5.35 billion, which is up $100 million at the mid-point compared to the previous guide, and up $175 million from our initial guidance in November. Adjusted operating income is estimated to be between $570 million and $590 million, which is an increase of $30 million from prior guidance and about $80 million from initial guidance in November using the mid-point. Adjusted EPS, excluding intangibles, amortization and divestiture related charges is now projected to be between $6 and $6.20 per share. This reflects a $0.35 raise from prior guidance and up $0.90 from our initial guidance in November. As a result of the improved earnings forecast, we are raising free cash flow guidance to between $350 million and $380 million for fiscal 2024. This is an increase of $15 million at the mid-point and also reflects higher CapEx during the remainder of the year. The improved outlook implies organic growth of about 9% and an adjusted OI margin of approximately 11% on a full year basis. Also implied in the new guidance is a fourth quarter that looks more balanced and representative of the typical profile of the business, especially as compared to the extraordinary results this third quarter. The U.S. Federal segment is expected to deliver adjusted OI margin of around 12.5% on a full year basis for fiscal 2024, which is also the expectation for the fourth quarter. Our view on the U.S. Services segment is tracking in line with prior expectations. We still anticipate a segment margin of approximately 13% on a full year basis, meaning the fourth quarter should be in the 11% to 12% range, reflecting the completion of extra Medicaid-related activities and over performance in the segment in early quarters. In the Outside the U.S. segment, we still expect shaping efforts to occur this fiscal year and anticipate a slightly smaller footprint once completed. While not built into current guidance, we anticipate that such a transaction would result in divestiture related charges that would not impact our adjusted operating income. Meanwhile, we expect the segment to finish slightly above breakeven for fiscal year 2024. Rounding out a few other assumptions for fiscal 2024 would be interest expense of approximately $80 million and intangibles amortization expense of approximately $90 million. I’ll close by providing some early thoughts on next fiscal year, and this precedes official fiscal 2025 guidance that we will provide on the year end call in November. We always represent Maximus as a business that should grow organically in the mid-single digits over the longer-term. The last two fiscal years have outpaced that with 7% in fiscal 2023 and 9% at the mid-point of our fiscal 2024 guidance. Three consecutive quarterly earnings beats and guidance raises, two of which also increased revenue in a given fiscal year is atypical for us. Bearing in mind this significant over performance, our early view is that fiscal 2025 revenue may look roughly similar to the new guidance for this year. This year has benefited from exceptionally strong volumes across many existing programs, some of which, as we have previously said are likely to moderate, most notably those associated with redeterminations. A simple way to normalize fiscal 2024 would be to assume more than half of the total $175 million guidance raise on revenue across this year, which has been quite accretive is attributable to over performance that is not necessarily expected to recur next year. Then, off that normalized base, we anticipate organic growth that will roughly replace the revenue falling off. From a bottom line standpoint, the business continues to demonstrate stability and strength, recognizing, however, that the moderation of the non-recurring revenue has an EPS growth and margin impact. There has been a total increase to guidance of about $0.90 per share across this year. Similar to revenue, a sizable portion of that would be attributable to overperformance that we don’t expect to recur next year. However, we are confident that we could at least partially or perhaps entirely cover the earnings impact through continued performance optimization outside the U.S. improvement and lower interest expense. We’re pleased to be tracking to our 10% to 14% long-term adjusted OI margin range. And while the 11% implied margin in our fiscal 2024 guidance is bolstered by the non-recurring work, we anticipate achieving at least 10% next year. Also of note, fiscal 2024 CapEx included a number of sizable investments in capitalized software. We expect CapEx to return to a more typical range of 1% to 1.5% of revenue for next year, which would enhance free cash flow. Again, this represents our early view and we plan to provide formal guidance in November as usual. To conclude, we are very pleased with the operational and financial performance that the broader Maximus team has delivered in service to our customers and in many areas of national importance. We remain focused on driving shareholder value with sustainable mid-single-digit organic growth over the long-term and disciplined capital allocation. With that, I’ll hand the call over to Bruce.
Bruce Caswell: Thanks, David, and good morning. We are pleased to have delivered another solid quarter, contributing to what we expect will be a strong fiscal year. High quality and efficient delivery of higher than expected volumes across the business reflect the benefits of our business model, enabling the positive financial results David has shared today. We continue to focus on executing the strategy outlined in our 2022 Investor Day. Recent awards demonstrate our continued delivery within our three strategic areas, future of health, technology modernization and customer services digitally enabled. To that end, I’d like to share a few refined areas of focus we’re excited about. Let’s begin with recent wins. We recently announced the award of our first task order under the IRS Enterprise Development Operations Services or EDOS, Blanket Purchase Agreement or BPA. Under the task order, our teams will support the IRS internal management division by designing and developing all functional and technical enhancements for the agency’s internal operations and accounting program, valued at $87 million over a five-year period. The award is evidence of our commitment to expanding our technology modernization services. We first announced our inclusion on the BPA last fiscal year and are pleased to be selected for one of the first few task orders awarded. The IRS has been a valuable client for several decades and we are thrilled to have the opportunity to continue our strong collaborative relationship while supporting the agency’s modernization mission. Earlier this year, we were successful in winning new work with the Transportation Security Administration for Operations, Technology, Innovation and Management, or TSA OPTIMA for short, with an approximate total contract value of $171 million over six years. As has been reported in the Trade Press, an initial protest by the incumbent was resolved in our favor. A second protest was subsequently filed and is pending. While awaiting resolution, our teams remain excited to support the TSA in its mission. This award recognizes our high technical qualifications and illustrates the value proposition we often discuss on acquisition rationale, which is revenue synergies. Here, the value stems from our 2021 acquisition of the Attain Federal business. Attain held the best technical qualifications to deliver the work. While Maximus was party to the relevant contract vehicle. Our combined teams leveraged the legacy strengths of each company in our proposal and we were successful in securing another strategic win to best serve the needs of the TSA. In our U.S. Services segment, we were recently awarded the rebid of our independent enrollment broker contract in the Commonwealth of Pennsylvania. Under the new contract, valued at $263 million over five years, we’ll deliver additional new scope that supports our customer services digitally enabled area of focus by supporting our contact center agents with technologies that should increase efficiencies in the enrollment process, providing a better experience for the consumer. Finally, to close the discussion on recent wins, I’m excited to announce a new seasonal contract with the Federal Emergency Management Agency or FEMA, where we have a long history of staffing up quickly to support urgent needs of individuals around the country impacted by disasters. Under this contract, which has a total potential value of $75 million, our team of nearly 700 skilled agents will be answering calls and accepting applications from those impacted by recently declared federal disasters, with a focus on supporting those affected by Hurricane Beryl in Texas. At a time when so many companies, Maximus included, are considering the potential impact of artificial intelligence in our operations. Our work with FEMA is a general reminder that at the end of the day, connecting with a live agent to get the urgent and empathetic support needed is a priority of our government customers. We continue to be excited about the technology solutions we’re developing and deploying under the leadership of our Chief Digital and Information Officer, Derrick Pledger. Last quarter, I mentioned our Total Experience Management solution, or TXM. At Maximus, we take pride in our history of implementing complex public policy with efficient technology based solutions. The Contact Center as a Service or CCaaS capability that TXM provides will be an added differentiator for Maximus as governments seek single providers to deliver secure, scalable, cloud-based solutions to serve employees and citizens. We are pleased with our growing pipeline of TXM opportunities in our Federal Services segment. We are also encouraged about the growing transition to modular solutions supporting the delivery of state Medicaid programs, an area we term Medicaid Enterprise Systems or MES in our U.S. Services segment. Guided by CMS’s Medicaid Information Technology Architecture or MITA, our MES solutions support the goal of best-in-class technology for specific Medicaid functions, reducing implementation risk and program disruptions while providing greater configurability. With a deep understanding of Medicaid systems and policy, we are well positioned to support our state clients as they make this transition. The industry move to MES further validates our strategic areas of both technology modernization and customer services digitally enabled. We expect this to be a positive contributor over the coming years. In the context of our future of health strategic pillar, we’re pleased to see states acknowledging the benefits of bringing together assessment programs that have been historically disparate. We’re working closely with our customers to consolidate assessment programs with the goal of a far better experience for the consumer and increased quality and efficiency for the state. We anticipate that much of our ongoing opportunity shaping will have top and bottom line impact in the medium-term. Finally, in the U.S. Services segment, we’re seeing a greater number of states interested in establishing their own state based exchanges. Given the timing and complexity of moving from the federal marketplace, we expect this pipeline dynamic will also contribute in the medium-term. Let me turn now to our award metrics and pipeline. For the third quarter of fiscal year 2024, signed awards totaled $1.3 billion of total contract value. Further, at June 30, there were $398 million worth of contracts that had been awarded but not yet signed. These awards translate into a book-to-bill of approximately 0.6 times for the trailing 12-month period, reflecting in part a lower than normal period of rebid activity. Our rebid win rates remain at historic levels near 90%. We anticipate our book-to-bill to remain below one through the end of our fiscal year and expect to see it rise again as the volume of adjudications, both rebids and new work, is expected to increase over the next 12 months. Our pipeline at June 30 was $44.1 billion compared to $37.8 billion reported in the second quarter of fiscal 2024. The June 30 pipeline is comprised of approximately $2.9 billion in proposals pending, $7.3 billion in proposals in preparation, and $33.8 billion in opportunities tracking. One explanation for the increased pipeline is the CMS Contact Center Operations or CCO contract valued at $6.6 billion. As expected, the RFP was issued on May 16, and in June, we filed a pre-award protest with the Government Accountability Office. Based on processing times of the GAO, which can take up to 100 days, we expect to receive a response by September 30. As I’ve mentioned the last several quarters, we have received top customer satisfaction scores and while we do not agree with the stated purpose of this unprecedented rebid, we remain focused on delivering services critical to tens of millions of seniors. We will simultaneously pursue all appropriate paths to achieve a fair resolution to this matter. The jump in our third quarter pipeline is also driven by the inclusion of our Medical Disability Exams or MDE contracts with the Veterans Benefit Administration or VBA. As we shared last quarter, the agency will be rebidding these contracts due to exceeding the ceilings on claim volume in the current contracts. Of our total pipeline of sales opportunities, approximately 55% represents new work, additionally, 62% of the $44.1 billion total pipeline is attributable to our U.S. Federal Services segment. I would be remiss not to address the upcoming election in my prepared remarks. We have a demonstrated history of delivering strong financial results under both parties. In fact, while one party tends to support expanded public safety net programs for which Maximus is best known, the other has opened new markets for us and shown strong support for flexibility in state level program delivery. Given this spectrum, we are confident that our continued success will not be materially impacted by the results in November. Delivery on our three to five-year strategic plan will continue to be our focus. Within an election year, we often find ourselves navigating many cross currents driven by changes in policies and administrations, making for a more dynamic management environment for our business and industry. Current examples include the CCO rebid as well as the ever changing policies and updates announced by Federal Student Aid or FSA. As we enter this more dynamic period, I remain optimistic. Over the long run, a hallmark of the Maximus business model is our ability to navigate periods of volatility and view them as opportunities to demonstrate our capabilities to best serve citizens. In fact, we did just this during the COVID pandemic, when we pivoted to address immediate needs, capturing $1.7 billion of additional revenue. We’ll continue to de risk and sharpen our view forward as we move toward providing formal guidance in November. As I near the end of my remarks, I’d like to celebrate the recent recognition we received from Time Magazine, as part of its inaugural list recognizing companies that are setting benchmarks in the U.S., Maximus was named one of America’s best midsize companies. The award recognizes companies based on three elements, employee satisfaction, revenue growth and transparency of sustainability efforts. This recognition from Time underscores Maximus’ role as a leader among America’s midsize companies. Congratulations to the entire team at Maximus for achieving this milestone. In closing, I remain pleased with the progress were making in many of the strategic areas of our business. Most notably, I continue to be impressed with the strong coordination between our enterprise technology and operations teams who are collaborating in new and exciting ways tied directly to our top pipeline opportunities. As we strengthen relationships with current and new customers, we’re helping to shape opportunities and provide technology capabilities that will underpin the delivery of government programs well into the future. While supporting the early successes I’ve mentioned today, the greater benefits of these efforts will ultimately be realized in the next 12 to 24 months. And with that, we’ll open the line for Q&A. Operator?
Operator: Thank you. The floor is now open for questions. [Operator Instructions] Today’s first question is coming from Charlie Strauzer of CJS Securities. Please go ahead.
Charlie Strauzer: Hi. Good morning. Just if we can pick up on the CCO commentary, Bruce, since the protest has been filed, are there any updates in terms of timeline or conversations or color that you’ve gotten back from the – from CMS?
Bruce Caswell: Sure, Charlie. Yes, I don’t have really much to add from my prepared remarks. I mean, we noted that the protest is now with the Government Accountability Office. We expect that they’ll respond by September 30 at the latest. They could respond sooner. This protest action, I guess, one thing that’s worth noting is that the 100-day stay – is a stay on award that you get as a consequence of filing with the GAO. It doesn’t keep the agency from progressing the procurement process itself. So, interestingly, the next phase of the procurement has proposal volumes two through five. We’ve already – past the phase where volume one, which is an initial qualification process, was due in June, but volumes two through five are due, I believe, September 13 or so. And as a consequence, we – as I said, we’re in the process of considering that volume response, because it would have to precede final response from the GAO, which could occur as late as September 30. So we would only see the GAO process having a real impact to the anticipated award date, which was publicly stated is intent of award coming out January 16. If subsequent to this initial GAO process, there were subsequent processes either back through the GAO or through higher level appeals to Court of Federal Claims or what have you, that could affect the actual award date itself. So that’s the sense of the timing. I would say that the – many potential paths remain here that this could take. And I just note two things. We remain super focused on delivering top quality service as we have. We are thrilled that the independently measured customer satisfaction scores with this program were really the highest since we took over responsibility for the contract this last open enrollment period. And we’ll continue to deliver exceptional service and let the process play itself out. And I also mentioned that we’re really committed to achieving a fair outcome here, and we’re going to fully intend to pursue all potential paths necessary to do that. So, David, would you add anything?
David Mutryn: Yes. Charlie, on CCO, I’ll just add, since investors have been interested in the profitability of this contract. I wanted to point out the contract is cost plus award fee, as we’ve said, which does traditionally carry low single digit margin. Although, given the contract’s absorption of indirect costs, the impact to our total operating income from the absence of the contract would likely be more significant than just low single digit margins. And that depends in part on the extent to which we’d be able to mitigate the effect of that lost indirect absorption. But regardless of the recompete outcome, we don’t expect it to have a significant impact to our current view of fiscal year 2025.
Charlie Strauzer: Great, thank you. And just shifting gears to guidance, if we could, looking at Q4 and the early color you gave us for 2025. Is it possible to get a little bit more color as to the incremental revenue not expected to reoccur in 2025? What is implied growth – what is the implied growth rate behind that? The comment that you said, it may look similar to the latest revenue guidance. Are we talking flat year-over-year, low single digit growth? Is this on a pro forma basis, that kind of thing?
David Mutryn: Sure. Yes. So for fiscal year 2024, with less than a quarter remaining, our visibility is very strong. We feel good and confident in raising that guidance, both as a result of the Q3 overperformance and continued momentum in Q4. Looking to 2025, yes, my commentary was that our current view, which, let me reemphasize is an early view, will be giving our formal guidance in November. But our early view is that fiscal year 2025 would be roughly similar to where we now expect fiscal year 2024 to land, which, of course, is now $100 million higher than our prior guidance. We’ve been consistent that we do expect some top and bottom line moderation in U.S. Services, in particular, as a result of the redetermination volumes that were historically high given the three years of continuous Medicaid enrollment. And while we’ve, maybe on prior calls, focused a bit more on the bottom line and margin impact of that surge in volumes, we do recognize there’s a top line impact as well, which we’ve wanted to call out here. So the strength in fiscal year 2024 has been really in both U.S. segments, U.S. Services and U.S. Federal. But the portion that’s not expected to recur is concentrated in U.S. Services. Much of that related to the redetermination volume, which we talked about. But one last point, while we reiterate our belief that long-term demand for our business will continue to grow and support mid-single-digit organic growth, there can be fluctuations year-to-year. Bearing in mind that we’ve – we’re on track to deliver a second year of high single digit organic growth at 9% at the midpoint of our guidance.
Charlie Strauzer: Great. Thank you. That’s very helpful.
David Mutryn: Great. Thanks, Charlie. Next question.
Operator: Thank you. The next question is coming from Bert Subin of Stifel. Please go ahead.
Bert Subin: Hey, good morning and thank you for the questions.
Bruce Caswell: Good morning, Bert.
Bert Subin: Maybe just to, I guess, pick up there as we think about the potentially the excess, it seems like you’re mostly calling out the redetermination side. I guess if we think about VES and the VA side of things, substantial growth in the fiscal third quarter, and it helped boost your margin quite a bit for U.S. Federal. I guess next week, I think we’re looking at an Industry Day for that rebid. And there’s an expectation that there could be an RFP next month and then award by November. Obviously, right now the VA is grappling with some funding issues. Can you just give us your thoughts on maybe what your near-term expectations are for that business and then what they are as you think about FY2025? Because it would seem like as you roll out automation tools, that should be a pretty solid margin boost next year that would help potentially offset what you’ve been dealing – at least partially offset the tailwinds that are turning to headwinds and redetermination. So just curious if you could provide some color there.
Bruce Caswell: A lot of dynamics there, Bert. And it’s a great series of questions, compound question. So the first piece I’ll start and then I’ll turn it over to David to comment a little bit more on the margin expectations. So, first of all, as it relates to the rebid, you’re absolutely correct. Our information is similar to yours in that there was a revised RFI that was issued in late June. And the intent of that, as expressed in the RFI, is to award a two-year contract. And that would be – these would be contracts for regions one through four of the MDE program. The RFP is expected to be released in August, submittal is due in September, and an award before November 1. Interestingly, the period of performance will be from November 1, 2024 through October 31, 2026. So a two year contract award there. Further, not much more to comment on the rebid, except to just reiterate, I think what all in the industry are quite aware, which is that they’re recompeting this due to the volume limits that have been approached or being approached on the existing contracts and to provide extra capacity to the vendors. We can’t comment any more specifically on the rebid dynamic, given how imminent it is. But you also talked a little bit about the budget. The increased caseload of disability claims that have resulted from the PACT Act to put pressure, obviously not just on the funding for the program to complete C&P exams for the MDE process, but also obviously for the benefits themselves for veterans. And it’s a broadly bipartisan supported program. And while the budget request was not acted on prior to adjournment, presently we think that will continue to very much be a congressional priority in the near-term to prevent any shortfall for the VA in FY2024. I think my recollection is that the budget request is just shy of $3 billion for FY2024 and then another $12 billion or so for FY2025, which is an important point, it’s a biannual budget process that the VA has. So the request, when it’s acted on by Congress, would provide that bridge funding to cover our next fiscal year, obviously contemporaneous with theirs as well for FY2025. So that would address the issues related to the rebid and the budget. Let me turn to volume expectations, technology, and then give it over to David. From a volume standpoint, I think we all follow, obviously, the public information that the Veterans Benefit Administration publishes on the claims inventory. And it occurs to me that while it’s come down a little bit in recent months, it remains well above the prior historical peak that was a dozen years ago. And so when we talk about the pace at which a new equilibrium will be reached, our view is that is two things. First, the ongoing PACT Act volumes that will become part of the process. And it’s important to note that veterans have the ability to be seen, and in many cases are seen and have exams related to their conditions more than once during their lifetimes, because if they have fluctuating conditions and their circumstances change, they get seen again. So there will be a new equilibrium, but that equilibrium we expect would be at a higher level than the prior equilibrium. We also would say that there’s certainly sufficient volumes in the system to sustain the production levels that we’ve been seeing at least throughout the fiscal year 2025. So I’ll note that our early color on FY2025 reflects that dynamic, and we remain committed and of the viewpoint that volumes is remain elevated. But also note that the significant ramp up in capacity across the system has really occurred at this point. So that then brings us to technology, your last point. Technology is certainly a – it’s a major investment that we’re making, and I’m excited about it because it will have the ability to really improve the veteran experience. There are areas like self scheduling that need further automation. And certainly providing veterans the visibility to the status of their claims as they work their way through the process will be very important elements. The investments we’re making in technology though, very prudently require that we would operate both the legacy system environment as well as the new system environment in parallel during a certain period to assure a very clean cutover into new systems environment. And so we would anticipate the economic benefits of the technology introduction to really be, if anything backend loaded in the FY2025 period, but I’ll pause at this point and turn it to David for further commentary.
David Mutryn: Yes. Thanks, Bruce. Just a little more commentary on the Q3 margins in the Federal segment, since this is a component. So I mentioned in my prepared remarks that one driver was the unusual mix of higher performance based revenue and lower cost-plus revenue. I probably shouldn’t even say unusual, because we have seen this somewhat a seasonal impact with lower cost-plus revenue in the third quarter, which has occurred in the past. So that played a part in the higher margin this quarter. And then in addition, our assessment programs did have particularly strong volumes. Our production was strong, and essentially some volume was pulled into Q3 from other quarters, which drove performance on both the top and bottom line. So as Bruce said, going forward, we expect Q4 volumes on the clinical work to moderate slightly as a result of that pulling in from other quarters in Q3, but then remain steady for the foreseeable future.
Bert Subin: Got it. That was extremely helpful. So thank you for that commentary. Just a clarification as we’ve gone into this period where the VA is grappling with some underfunding. Have you seen yet at least, I guess, early indications in that 4Q of a material change in volumes, or has it been fairly steady so far and sort of waiting for that to ripple through?
Bruce Caswell: Really the latter part has been steady.
Bert Subin: Got it. Okay. In terms of, I guess, for a follow-up, as we think about the early commentary for FY2025, I mean, the book-to-bill, you noted has been running a little lower. And I guess, what gives you confidence that that’s going to sort of snap back to a 1.0 or above? That’ll give you sort of the ability to offset some of the revenue headwinds you talked about as you go into next year?
Bruce Caswell: Great question. And I guess, as you might expect, to have a bit of a multi-part answer, so bear with me. That is that – first of all, there are a number of dynamics in play. There are some macro dynamics, and then there are some dynamics related just to Maximus. The TSA OPTIMA procurement, we commented on that because in my prepared remarks, it’s an extreme – bit of an extreme example, but it really demonstrates the propensity for opportunities in our business to shift to the right, and not just by quarters, but at times a year or more than a year, with multiple protests and so on and so forth. So we see that dynamic, unfortunately, playing itself out. And you wonder at some point whether that there’ll be a correction to that because customers become familiar with the companies that are protesting. And that’s – and it’s a small contracting community. But I won’t comment further on that. I’ll just say that it’s illustrative of some of the considerations that impact the book-to-bill.. It also illustrates that what we’re seeing is more of a volume issue than a win rate issue for new work, from our perspective. Other market factors that include one important, one is the targets that have been established for small business. The Biden administration has indicated that by FY2025, they want to see 15% spending for small disadvantaged businesses and that’s up from preliminary goal that has been achieved at 12% in FY2023. So we’ve seen a number of higher value awards that historically would have been competed full and open through agency level IDIQs get pulled back and then reclassified for small business. And we acknowledge, of course, that a thriving small business ecosystem is important for the GovCon sector. Larger companies therefore have to adapt through greater use, for example, of joint venture arrangements, and it can take time to establish those and get them in place for opportunities that you may have thought were going to be full and open that then shift to small business. Another macro factor I would note is that the silver tsunami continues to be a real event in the government procurement community. Agencies are dealing with reduced capacity to effectuate procurements, leading to longer cycles. Now, in the near-term, our book-to-bill ratio reflects a period of unusually low rebid volumes. And so in terms of your question of when will it snap back and will see one again or better, we do expect that to normalize in the coming quarters as we work through some of the rebids, like the VA MDE one that we’ve been discussing. But also I’m pleased that for the rebids that we have had adjudicated, we’ve been maintaining our historical rebid win rates, which is great. It’s also not inconsistent. All of that said, with some of the dynamics, we’ve observed with even some of our counterparts in the industry, and we are very much focused on igniting the growth engine across our Federal business. This is not something new, but I’ve commented on it a bit in prior calls and I wanted to offer a few more remarks in that regard. We see a very strong pipeline out there and one that we need to capitalize on. And so we’ve been making investments now in filling out the teams of business development leaders and capture leaders underneath the market leads that I introduced on a prior call that we put in place in our civilian, defense, and health businesses. We’ve – number two, as I mentioned previously, really driven, close collaboration between the market leads and our technology teams to coin a phrase from our CDIO to shift left and ensure that we’re shaping key pipeline opportunities, positioning our solutions, such as the Total Experience Management cloud-based [indiscernible] platform as an example, in advance of procurements. And then lastly, we’re really optimizing our processes. Some of the initiatives we’re focused on through our Maximus Forward broader initiative on transformation are to invest in the tools for early opportunity qualification, proposal development, GWAC and IDIQ, task order response execution, live test demonstration capability and so forth. And like others in the sector that you’re well aware of, several of those areas are really excellent use cases for GenAI applications as well that we’re investing in. So this is all in addition to the growth drivers and areas of opportunity that I mentioned in my prepared remarks, which we think will contribute in the medium-term. And so if I look at all this together, I would say that’s what gives us the confidence that we’ll be seeing that book-to-bill snapping back and then heading north again in the coming quarters. So with that, I maybe would leave you with one final thought. And that is, organic growth takes many forms at Maximus. And a key contributor to organic growth, of course, is always growth on base. And so then we see the pipeline and conversion of new work awards as contributing as well to that collectively, that’s what gets us to the organic growth rates that we’ve been talking about. Thanks for your patience.
Bert Subin: Bruce, as always very helpful. I just have one more question for David. In terms of, you said sort of at least 10% margin for next year, obviously, as early comments are still getting through that process. But if we go back to the 2022 Investor Day, sort of talking about a 9 to 12 medium-term, 10 to 14 longer-term, or I guess, 9 to 12 near-term, 10 to 14 longer-term, if we were to end up seeing Maximus closer to 10.0 [ph] next year, is that going to be a function of, I guess, a combination of OUS running lower and then maybe running those multiple systems for the VA? I’m just curious, it seems like your progress on margins have been really good, even excluding some of the excess redetermination. So I’m just curious why you would potentially take a full point step back.
David Mutryn: Yes, Bert, again, it’s a wide range and early color. I wanted to acknowledge that there will just be a little pressure to margins as a result of that accretive revenue falling off. So I wanted to lay out the 10% is some level of assurance that not a dramatic margin impact.
Bert Subin: Great. Thank you for all the questions.
Bruce Caswell: Thank you.
Operator: Thank you. Ladies and gentlemen, this brings us to the end of the question-and-answer session and concludes today’s event. We thank you for your participation and interest in Maximus. You may disconnect your lines and log off the webcast at this time and enjoy the rest of your day.